Operator: Good morning and thank you for attending to Semrush Holdings Fourth Quarter and Full Year 2024 Results Conference Call. My name is Brica, and I will be your moderator today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. I would now like to pass the conference over to our host, Brinlea Johnson, Investor Relations at Semrush Holdings to begin. Thank you. You may proceed, Brinlea.
Brinlea Johnson: Good morning and welcome to Semrush Holdings fourth quarter and full year 2024 conference call. We’ll be discussing the results announced in our press release issued after market close on Wednesday, February 26th. With me on the call is our current CEO, Oleg Shchegolev; our CEO new Bill Wagner; our President, Eugene Levin; and our CFO, Brian Mulroy. Today's call will contain forward-looking statements which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include, but are not limited to, statements concerning our expected future business and financial performance and financial condition, expected changes to our Executive management team, expected growth, adoption and existing and future demand for our existing and any new products and features, our expected growth of our customer base and specific customer segments, the continued development of our products, industry and market trends, our competitive position, market opportunities and growth strategies, sales and marketing activities and strategies, future spending and incremental investments, our guidance for the first quarter of 2025 and the full year 2025, and statements about future pricing and operating results, including margin improvements, revenue growth and profitability and assumptions regarding foreign exchange rates. Forward-looking statements are statements other than statements of fact and can be identified by words such as expect, can, anticipate, could, plan, believe, seek or will. These statements reflect our views as of today only, and should not be relied upon as representing our views at any subsequent date and we do not undertake any duty to update these statements. Forward-looking statements address matters that are subject to risks and uncertainties that could cause actual results to differ materially from these forward-looking statements. For a discussion of the risks and important factors that could affect our actual results, please refer to our most recent quarterly report on Form 10-Q and our annual report on Form 10-K, filed with the Securities and Exchange Commission, as well as our other filings with the SEC. And finally, during the course of today's call, we refer to certain non-GAAP financial measures. There is a reconciliation schedule showing the GAAP versus non-GAAP results currently available in our press release issued yesterday after market close, which can be found at investors.semrush.com. Now, let me turn the call over to Oleg.
Oleg Shchegolev: Thank you and good morning. Semrush had an outstanding 2024. We began 2024 with a clear set of goals and a focused agenda. I’m pleased to report, but we delivered on both achieving our financial commitments and executing our strategic objectives, including expanding our customer base, increasing our average ARR per customer, and broadening our product portfolio. We ended the year with accelerating positive momentum, exceeding our fourth quarter guidance and closing out a real-time year. Our numbers underscore our execution. Fourth quarter revenue grew 23% year-over-year and IRR growth exceeding 22% year-over-year. We reported income from operations of $1.7 million, non-GAAP income from operations of $11.8 million, and non-GAAP operating margin of 11.5%. For the full year 2024, we grew revenue of 22%, delivered full year income from operations of $8.3 million and non-GAAP income from operations of $45.8 million. For the full year 2024, we reported a non-GAAP operating margin of 12.2%, generated net cash from operating activities of $47.0 million and ended the year with cash, cash equivalents, and short-term investments of $235.6 million. We have solidified our leadership position in online visibility across all business segments and extended our reach with a new enterprise focused solution to a number of world’s largest businesses. Importantly, we are successfully combining strong durable growth with profitability and shrinkage flow generation. In 2024, we also continued our strong track record of success on the product development and integration front. We innovated and expanded our product offering to help companies create brand awareness, generate traffic, and ultimately, convey traffic to paying customers, while we also successfully integrated the several acquisitions we made throughout the year. We also expanded the capabilities of our social media offerings, adding new AI features that we have started to monetize. I am particularly pleased with our enterprise sales in the fourth quarter, which by any measure were impressive and saw momentum built in each quarter following deliveries. We closed over 40 deals in December long and more deals in Q4 than the rest of the year combined. The prices of our customers now includes Amazon, Birkenstock, Colgate, Dick’s Sporting Goods, Disney, and Ticketmaster and many more added in Q4 2024. Considering enterprise owned the lowest mid-year and we now have 144 enterprise as your customers. I couldn’t be prouder of our team for what we have accomplished and importantly for what lies ahead. Looking into 2025, we plan to further evolve our platform and are focused on aging product depth across our search engine optimization, creative advertising, social media, local marketing, brand marketing, content marketing, and data and intelligence solutions. We are realizing the benefits of carefully investing in enterprise grade features for sophisticated marketers. And by leading with AI, we believe we can bring together the best of what AI has to offer to ensure our customers have access to the most accessible and actionable digital marketing platform. Our enterprise future is not just a show. Our ultimate plan and vision is to extend our reach even further. We plan on enhancing our product portfolio with more enterprise capabilities, adding sophisticated enterprise products across all channels, including AI optimization, which we’ll be referring to as AIO going forward. Looking ahead to the first half of 2025, we plan to launch our new AI optimization solution in closed beta. Semrush is thriving and at the same time we see unique opportunities for rapid advancements. With AI shaping the landscape, Semrush is uniquely positioned to lead and the path ahead demands relentless focus. My patience has always been at the intersection of product innovation and emerging technologies and as I think about driving Semrush next wave of technology breakthroughs, I have decided to shift my role. Effective March 10th, I will step into the position of Chief Technology Officer, dedicating 100% of my energy to product development, while continuing to serve on Semrush Board. To ensure a seamless transition and sustain our market leadership, the board and I, after careful consideration, have appointed Bill Wagner, an experienced leader and current Semrush Board member to take the helm as CEO. Bill’s track record, vision, and deep understanding of our culture make him the perfect fit to lead us into our next phase of growth. I have absolute confidence in Semrush's trajectory, leadership, and ability to execute. We remain committed to delivering world-class tools that empower businesses to maximize their online visibility. We are seeing strong positive momentum continue in 2025 as we strengthen our customer relationships, further extend our enterprise capabilities, grow and invest in enterprise go-to-market, and launch new products. I look forward to continuing to drive Semrush's product and technology strategy and I am excited that the best is yet to come. With that, please join me in welcoming our soon to be CEO, Bill Wagner.
Bill Wagner: Thank you, Oleg, and hello everyone. I’m thrilled to have the opportunity to step into the CEO role at Semrush and work side by side with Oleg and the leadership team as we execute on the company’s ambitious strategy. First, I’d like to thank Oleg and the rest of the board for their support as I prepare to take the reins. I’ve known and worked with many founders over the years and having worked with Oleg over the past several years on the Board, I can say he is indeed special. Building a startup from scratch to become a thriving public company is an amazing success story. It is rarer still when a founder remains hungry and sustains his passion for innovation after all of this success. I’m honored to step into his shoes as CEO and I look forward to continuing to collaborate with him to fully realize Semrush’s potential. As I approach my start date as CEO, I do so with great confidence in the strategy that was outlined in the company’s recent Investor Day. As a former CMO, I understand the complexity of digital marketing and the need for a platform to unify fragmented point solutions, simplify execution, and seamlessly integrate across multiple digital marketing channels. I’m excited about Semrush’s product portfolio and our ability to bring our fully integrated AI-powered digital marketing platform to organizations of all sizes. I believe Semrush is just scratching the surface of the market opportunity and is poised for sustainable and profitable growth over the long-term. I’m excited to bring my CEO experience to work with Oleg and the rest of the management team to execute on our strategy, accelerate innovation, and drive greater scale. I look forward to having more time to speak with each of you in the coming weeks. With that, I’ll turn the call over to Eugene and Brian to walk through the results of the quarter and the full year.
Eugene Levin: Thank you, Bill and on behalf of the entire management team, we’re excited to have you on board. Let me now provide a bit more color on our enterprise offering and product portfolio. The ability for brands to consolidate, analyze, visualize, and monetize data is a game changer. Combined with an exciting 2025 roadmap including through our integrated website user experience intelligence, AI optimization and competitive intelligence offering, customers can move away from siloed single point solutions to a unified end-to-end online visibility management platform. Let me share two brief customer stories that show further validation of our enterprise product strategy. Square has experienced remarkable success since adopting our enterprise SEO solution. The platform has empowered Square to outperform competitors in both traffic and content, improve search rankings across nearly every market, and significantly boost productivity. With real-time insights from tools like Share of Voice and what has happened, Square can rapidly recover from traffic losses, while the content optimization tool drives continuous improvements in search performance. In just a few months, Square has seen 30% increase in organic search traffic, a 25% enhancement in global keyword rankings and saves twelve hours per week making Semrush Enterprise the most advanced solution available in the market for their digital marketing team. Another one of our customers, Pixar, the world’s largest digital creative platform was among the first to adopt Semrush’s enterprise SEO platform. And it has completely transformed their approach to search visibility, traffic growth and SEO operations. Confronted with the challenge of manually optimizing internal links across hundreds of pages, Pixar turned to Semrush’s AI driven link recommender, which automated what would have otherwise taken several months. By seamlessly integrating over 50,000 contextual links across 300 pages in just one week, they saw a 20% increase in organic traffic for the linked pages and a 124% boost in their visibility. The ease of use and comprehensive solution provided by Semrush Enterprise have revolutionized their SEO workflow and set a new benchmark for digital marketing efficiency. Turning to the topic of AI, I wanted to provide a bit more detail on what Oleg referred to as AIO, which is about AI optimization. The online visibility industry is moving at a rapid pace and AI is playing an ever increasing role. Because of our key position in this ecosystem, we’re uniquely positioned to not only understand how this AI search tool gather their data and generate their responses to users, but we are also uniquely positioned to benefit from this by helping our customers optimize their online presence to properly rank within these AI tools results. We see numerous opportunities to develop new products and monetize our capabilities here as AI-based search becomes more prevalent. We’re seeing increasing demand in the marketplace for new tools to help our customers capitalize on this new marketing channel and we look forward to updating you on our AIO initiative and the opportunity it presents to Semrush in the future. With that, I will turn it over to Brian.
Brian Mulroy: Thank you, Eugene. We had a solid fourth quarter across the board, further demonstrating our ability to consistently grow revenue, while also increasing our profitability. Our fourth quarter revenue was $102.6 million, exceeding the high end of our guidance and growing 23% year-over-year. Growth was driven primarily by an expansion of our average revenue per customer as we continue to execute on our cross sell and up sell strategy. In particular, we saw very strong adoption of our enterprise SEO solution during the quarter. Full year revenue grew 22% from the prior year period to $376.8 million. We achieved positive non-GAAP operating income of $11.8 million in the fourth quarter, also exceeding our guidance and resulting in a non-GAAP operating margin of 11.5%, up approximately 150 basis points year-over-year and up nearly 2,700 basis points since the fourth quarter of 2022. For the full year, non-GAAP operating income finished at $45.8 million, representing a non-GAAP operating margin of 12.2%, up 840 basis points compared to 2023. Cash flow from operations was $11.9 million in the fourth quarter and $47 million for the full year. We generated $9.5 million of free cash flow in the fourth quarter, leading to a free cash flow margin of 9.3%. For the full year, we achieved $35.3 million of free cash flow and free cash flow margin of 9.4%, up 930 basis points compared to 2023. We ended the quarter with cash and cash equivalents and short-term investments of $235.6 million, up $2.7 million from the previous quarter as cash flow from operations was offset in part by the approximately $3.7 million in cash we used to acquire Third Door Media. Annual recurring revenue for the quarter grew 22% year-over-year to $411.6 million. ARR from enterprise-sized customers was particularly strong during the fourth quarter as we saw continued momentum in adoption across our new and expanding enterprise product suite. Our calculated average ARR per paying customer grew to over 3,500, up nearly 13% year-over-year versus the same quarter last year. As part of our continued momentum in our enterprise segment, the number of customers paying over $50,000 increased 82% year-over-year to 336. In addition, we now have over 4,300 customers paying over $10,000 which grew 40% year-over-year. This strong growth is a direct result of our investments in our enterprise selling motion and launch of our enterprise SEO solution. As Oleg mentioned, we closed over 40 enterprise SEO deals in December alone and more deals in Q4 than the rest of the year combined, ending 2024 with 144 enterprise SEO customers with an average ARR per customer exceeding 60,000. We ended the year with $9 million of ARR from our new enterprise SEO solution. As of December 31, 2024, we had approximately 117,000 paying customers. While we are seeing strong growth and retention in our enterprise customer segment, we continue to expand softness in the lower end of our market. Our dollar-based net revenue retention at the end of the fourth quarter was 106%. We continue to believe our dollar-based net revenue retention will remain strong and increase as our more sophisticated accounts increase as a percentage of our mix since these customers have higher net retention than our company average. Looking at 2025, we plan to continue to prioritize our four key growth strategies outlined in prior quarters. We plan to maintain our sharp focus on increasing paying customers across all segments, expanding our average ARR per customer with the Semrush digital marketing platform, extending our SEO reach with our enterprise product, and enhancing our product portfolio with more enterprise capabilities with an emphasis on our AI-driven offerings. Efficiency and profitability remain important strategic priorities. I’ll now provide our outlook for the first quarter and the full year 2025. For the first quarter of 2025, we expect revenue in the range of $103.9 million to $104.7 million, which at the midpoint would represent growth of approximately 22% year-over-year. We expect our first quarter non-GAAP operating margin to be approximately 11%. For 2025, we are guiding revenue to be in the range of $448 million to $453 million, which translates into growth of approximately 20% at the midpoint. As it relates to full year 2025 non-GAAP operating margins, we expect approximately 12%. We also expect our free cash flow margin to be approximately 12%, up 260 basis points compared to 2024. Our free cash flow benefits from expanded profitability as well as continued growth in our enterprise segment and in particular our Enterprise SEO solution deals that we structure with a minimum annual commitment with annual billing. Our guidance assumes a euro exchange rate of 1.05. Approximately 30% of our expenses are denominated in euros. In closing, we are very pleased with our performance. We executed well to overachieve on our top line growth and profitability, advanced forward our strategic priorities and placed Semrush in a strong position for our next phase of growth. I’d like to thank our entire team for their efforts this past year, and I remain incredibly optimistic about the future of Semrush in 2025 and beyond. With that, we are happy to take your questions. Operator, please open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We have the first question from Mark Murphy with JPMorgan. Please go ahead.
Unidentified Analyst: Hey, guys. Thanks for taking the question. This is Artie [ph] on for Mark Murphy. Just wanted to get your thoughts on DeepSeq and if that’s having any impact on kind of your roadmap from your perspective and the potential for lower inferencing costs and whether you’ve tested this technology out? Thank you.
Eugene Levin: Thank you. Great question. So, we always felt that technology is going to be democratized from cost point of view. And what it means is that it will be increasingly available for consumers and it makes freemium models viable as well. And you’re already seeing this in terms of mass adoption of Google’s AI overviews, which is one of the ways to calculate not to calculate, but let’s say run AI cheaper. They do this at massive scale with fairly low costs. And of course, recently, ChatGPT launched a free version that is available without registration. So, again, it’s one step towards more massive adoption of and of course freemium model. And DeepSeq was one of the other movers in this direction that showed how to run models cheaper. I think their biggest breakthrough was more about cost of training. So, they achieved fairly good reasoning without massive trading costs. That said, nobody really knows how much they have actually spent. And there are, of course, concerns I mean, not concerns, but some people saying they ran a lot of distillation, which is, of course, a viable technique, but questionable from ethical point of view. I don’t want to throw stones at anyone. I think in general, it’s great that technology is getting democratized and more and more people will get access to it. And that’s fantastic for consumer Internet as AI is getting democratized.
Unidentified Analyst: Terrific. Very helpful. And then just, I think you guys may have briefly touched on it, so I apologize if I missed it. But could you talk about what you’re seeing in the macro? If there’s any change in kind of the momentum coming into this year and maybe how that breaks down across the market segments as well? Thank you.
Brian Mulroy: Hey, Artie, thanks. Yeah, this is Brian. At this point, we’re not really seeing any change to the macro environment or the impact that it has on the various Semrush cohorts. We talked at length at Analyst Day about us building momentum and really getting some strong success across our business and agency cohort and seeing some softness in the lower end of the market. We continue to see that in the fourth quarter. And as of now, through the trends, just not seeing any signs of a change as we’re advancing through 2024.
Unidentified Analyst: Awesome. Congrats on the quarter. I’ll step back in the queue.
Brian Mulroy: Thanks, Artie.
Operator: We now have Elizabeth Porter with Morgan Stanley. Your line is open.
Elizabeth Porter: Great. Thank you so much. Oleg, it’s been great working with you and Bill congrats on the new role. I just wanted to better understand kind of why is now the right time for a CEO change? And Bill, you’ve been on the Board for a few years. So could you share any initial observations of what you might like to prioritize as you take on the CEO role?
Oleg Shchegolev: Thank you for the question. This is Oleg. I’ll start with the first part and I expect Bill will continue with the second part. Look, business is performing very well. I think in in the current situation, the leadership team is strong, results are strong, business is performing very well and we have a lot of opportunity in front of us related to all these new technologies and so on. It’s a very important move for the company to address all these new opportunities. Once again, I believe business is performing very well and we should just add a lot of things on top of it.
Bill Wagner: Yes. Elizabeth, thank you for the welcome. And yes, I mean, I think my priority is first month as CEO is going to be listen and make sure I understand the business. And the great thing about the business is performing well and I’m very familiar with it having been on the Board. But for me, I think it’s really aligned with the strategy that you’ve already heard and that you know so well, which is really aligning growth among our user base and prosecuting the enterprise opportunity that we’re really is in early stages. So, I think it’s continuation of what the company has already been doing. And we’ll look to scale that up. That’s really the plan.
Elizabeth Porter: Great. And then Brian, maybe one for you. I wanted to unpack kind of what drove the downtick to NRR to 106%? It feels like the metric has been stabilizing at 107% and previously the in quarter NRR had been improving. So, what are you seeing in kind of the in quarter NRR in Q4? And what’s the outlook as we go into 2025?
Brian Mulroy: Sure. Yes, we did report 106%, so a very strong number and a number that represents our ability to continue to cross sell and up sell on our base and of course maintain favorable gross retention rates. We talked at Analyst Day about the net revenue retention rates by segments and in particular that our enterprise and more sophisticated customers have a net revenue retention rate that’s greater than 120% and growing. And then we had some softness in the lower end of the market where just because of some macro-related challenges throughout 2024 have been impacting that particular cohort of the business. That dynamic continued into the fourth quarter. So, there was a little bit of an impact on our net revenue retention. Having said that, it was only a couple of basis points. We were at 107% from a rounding perspective. It ticked down a couple of basis points and rounded down to 106%. We do continue, we’ve said it a number of times, we expect that will remain strong. We believe it has troughed and we believe we have a lot of opportunity with cross sell and up sell through every segments with our ability to retain our base and of course with the increasing mix in enterprise that over the long-term, we believe that number will increase. There is one caveat, one really interesting success we’re seeing with our go to market function. We are seeing good success in Semrush landing bigger though. So, as our sales organization ramps up and really focuses on selling our enterprise portfolio, we’re seeing that initial deal and that initial contract include more of Semrush than we’ve seen previously. So, that first check or first contract is larger. So, one caveat is that may have an impact on our net revenue retention rate, but it’s positive. We’ll take it. It just means the ARR treats the Semrush earlier.
Elizabeth Porter: Got it. Thank you.
Operator: Thank you. We have a question from Luke Horton with Northland Capital Markets on the line.
Luke Horton: Hey, guys. Thanks for taking the question and congrats on the nice quarter. Just wanted to touch on this AIO, AI optimization that Oleg and Eugene you guys were talking about. Just wondering, is this going to be some sort of add on to existing product solutions or to the enterprise solution? And then how do you kind of think about the pricing and potential price increases as you launch these AIO capabilities?
Eugene Levin: Thank you. Great question. So of course, as with every new portfolio of products, there will be a lot of testing around packaging and pricing. As of today, we have one product life in our product led growth platform. It’s available for $99 a month, which I cannot tell you if that’s going to be a long-term price. But it is price we’re comfortable with for now and for testing period. And of course, we’ll keep you posted when there are more news. And we expect to launch Enterprise version as well fairly soon in the first half of the year. So, like I said, it’s a great opportunity and we will keep you posted. But like with every new launch, you don’t necessarily know the final pricing and packaging when you launch it. And you focus more on user adoption and feedback.
Luke Horton: Got it. Yes. That makes sense. And then just with the 40 new enterprise deals in the month of December alone, just wondering what kind of contributed to such a strong month of December, and if this kind of momentum has continued here in January and February?
Brian Mulroy: Yes. Honestly, it’s a continuation of the investments and the initiatives that we’ve been building for a number of years. We’ve talked a number of times about Semrush’s foundation and strong track record of success with a product led growth motion. Over the last few years, we’ve recognized incremental opportunity in the enterprise, not just with ramping up our selling organization, but also adding sophistication and more advanced capabilities to our product. We’ve been at that for a while and the fourth quarter was essentially a really strong momentum building quarter where the product had been launched and out for a couple of quarters and our selling organization was starting to get up to full productivity from those early investments that we made in our enterprise go to market. So, we’re really pleased to see what we saw in the fourth quarter. We’re seeing good mix of both new and existing customer upgrades and really optimistic about what the future holds for that product and overall go to market motion.
Luke Horton: Got it. And yes, and that was actually going to be my last follow-up was just about the percentage of enterprise customers that are new to Semrush versus customers that have used prior products or solutions that have been upsold to this enterprise solution?
Brian Mulroy: Sure. So, out of the 144 that Oleg and I mentioned, it’s 60/40, so 60% existing where they were using at least one Semrush product and we’ve upgraded them and then other 40% of brand new competitive displacements or a shift from an internal proprietary solution to a Semrush enterprise SEO solution. Other key thing to note while we’re on that topic is on average that cohort of 144 customers was paying about $10,000 and now with their upgrade to the enterprise SEO solution are up to a little bit over $62,000 so a pretty significant multiplier with that new solution.
Luke Horton: Awesome. Thanks, Brian. And thanks guys for answering all the questions. That’s it for me and congrats again on a really nice quarter.
Brian Mulroy: You got it. Welcome to our call.
Operator: Thank you. [Operator Instructions] And we now have Jackson Ader with KeyBanc Capital Markets.
Jackson Ader: Great. Thanks for taking our questions guys. Good morning. It looks like operating expenses are expected to accelerate their growth here in 2025, at least according to kind of the implied guidance. And so I’m curious whether there’s any kind of timeline or expectation on maybe when revenue -- organic revenue acceleration might follow suit from those investments?
Brian Mulroy: Yes. Hey, Jackson. Yes, we’ve been at this overall strategy for a bit here. Just to touch on margins and then I’ll touch on your revenue question. Since the fourth quarter of 2022, our non-GAAP operating margin has been up by 2,700 basis points and our free cash flow margin about 2,500 basis points over an eight quarter period. So, we’ve been busy. We’ve been really focusing on efficiency and productivity throughout the organization and in particular making sure we have our investments focused on areas where we have a track record of success, a really strong market position and conviction about our ability to win and scale the company’s growth leveraging those investments all focused on making sure we’re driving long-term shareholder value. So, we did a lot of work. We were able to capture those improvements to operating margin. We did note at Analyst Day that we’re committed to continued improvements and in the long-term model noted that we get to 22% non-GAAP operating margin and 25% free cash flow margin. Our guidance for 2025 is we still have a number of months ago, so it’s early in the year. But we’re essentially guiding flat on non-GAAP operating margin and a two sixty basis points increase in free cash flow margin. So, we’re continuing on our journey. What we see 2025 as is a year to sort of take our breath to celebrate all the success we’ve had with all those margin expansions and start to build initiatives for the next leg of margin expansion. But it’s also a year of investment. We see a lot of opportunity, as Oleg mentioned, about expanding enterprise capabilities beyond just SEO. We have a number of interconnected hubs with paid advertising, social, local marketing, brand marketing, content marketing and of course, a number of AI initiatives that we believe have a significant opportunity in store for Semrush and we want to be investing in those. We’re also really pleased with what we’re seeing with the sales organization. Under Tommy’s leadership, we’re gaining traction and momentum and want to make sure that we’re fueling that success and supporting the growth and success we’re seeing in enterprise. So, we’re going to make this an investment year, maintain that margin, but of course, free cash flow margin will expand by 260 basis points, so we’re continuing to push that forward. All of these efforts, all of these initiatives and investments are of course put in place to make sure that we can continue to drive durable growth and ultimately, accelerate it in certain segments and with certain products. So, we’re absolutely keeping that in mind and ensuring that we have that focus with these investments.
Jackson Ader: Okay. All right. Great. And then a follow-up question to the 60/40 split on the enterprise customers. Curious whether existing or net new customers to Semrush have is there any kind of a difference in terms of their average ARPU at around that 60,000? The brand new customers, are they are they actually landing a little higher than your existing customers because they don’t have they’re not anchored to maybe what they were paying much less in their old contract for their old products?
Brian Mulroy: That’s a great question. We’re not actually seeing that. I think in fact our biggest customer and the biggest multiple expansion was an existing customer. So, we’re seeing really strong success and proving out that the product has the capabilities, the enhanced sophistication and I think most importantly the incremental value that allows companies to save time and generate incremental revenue at a much more rapid pace than their competitors that are not using that platform. So we’re not seeing any particular existing versus new customer dynamics that and the anchoring dynamic that you saw that you’re asking about.
Jackson Ader: All right, cool. Thank you.
Operator: Thank you. We have our final question on the line from Scott Berg with Needham.
Scott Berg: Hi, everyone. Really nice quarter. I guess, welcome, Bill. Looking forward to working with you. Couple of questions here and maybe Brian, how you’re thinking about the guidance here for fiscal 2025. Around the macro, we’ve seen SMB businesses be a little bit more optimistic over the last two or three months. I know your net adds were a little on the lighter side here in the quarter, but there’s always some seasonality around your business in the fourth quarter, so I don’t think that’s unsurprising. But how are you thinking about the macro with regards to your initial 2025 outlook? Is it may be improving with some of that sentiment? Or are you still taking a more prudent cautious view?
Brian Mulroy: Hey, Scott. Yes, I think you nailed it. The approach we’re taking for 2025 is consistent with how we’ve guided in the past. We’re going to continue to maintain a prudent outlook that represents the near-term trends. Our experience in the second half of the fourth quarter is while we’re seeing certain soft factors related to the macro and to SMB optimism start to improve, we’re going to want to see actual hard evidence of that in economic indicators before we really lean into our guidance. So, for now, our guidance assumes a continuation of the same trends. There’s a long year ahead of us and want to make sure we’re continuing to maintain a prudent outlook and set up Semrush for success and ensure that we can continue to deliver on our commitments.
Scott Berg: Excellent. I know you touched on a new enterprise version coming in the first half of the AIO solution here. I guess, how do we think about that kind of feature function and pricing relative to what you currently have in the market? I assume it’s not going to have the same 10 to 15 uplift as your core enterprise solution that you released last year is. But how do we think about the incremental functionality and then the uplift that might actually drive--?
Eugene Levin: Yes. So functionality at first will be primarily focused on just measuring overall visibility in different LLMs as well as AI-powered search. That will be the primary focus. And I think the biggest new thing is that when it comes to AI, it’s not just about clicks and traffic, it’s also about the tone of voice and what those things actually say and understanding the meaning. And we’re working a lot on extracting those additional kind of layers of insights from the output of large language models. So, those are this is going to be the key functionality at first. And then like I said, in terms of pricing packaging, it’s a bit too early. We’ll see what is the demand and what is the, let’s say, price elasticity there and then we will make pricing decisions accordingly. But in my experience at launch, you just don’t focus on that. You focus on customer feedback. You want happy customers, then you decide what is the right price and package.
Scott Berg: Excellent. And I apologize if I can slide one last one in here. Your growth in your 10-K customer segment was really good, up 40% in the quarter here year-over-year. What’s driving that? I guess how much of that’s been driven by your enterprise new solution? Obviously, you have 144 customers on that. Or is there a cohort there that’s just maybe more your core SMB customers that could buy more, purchasing more? Just trying to help understand what the key driver is of that 10-K segment?
Brian Mulroy: Yes, it’s definitely more than Enterprise. I mean Enterprise contributed in the year to 144 of those and of course a 42% increase that gets us to 4,300 represents that plus quite a few more. So, in addition to Enterprise and what we talked about a little bit earlier with Jackson’s question, we’re continuing to invest in our sales organization and we’re getting really strong success from pivoting, from approaching the users and the experts that are leveraging our technology to focusing a little bit more on leadership and ensuring that they’re getting the full value of our platform across their entire digital marketing team and pivoting the conversation from a transaction to a trusted advisor status where we’re partnering with these organizations to enhance their online visibility. So, our overall buyer is being enhanced, overall go to market and lead demand generation functions being enhanced. And of course, we continue to invest in our portfolio, not just in enterprise, but making sure that we have a fully integrated and comprehensive digital marketing platform across those six channels with a really strong data and intelligence layer. And we’re just seeing strong success in companies adopting more of our platform and enabling a strong cross sell and up sell that’s driving that number up in addition to the enterprise capabilities that we’re launching.
Scott Berg: Excellent. Nice quarter, thanks for taking my questions.
Brian Mulroy: Thanks Scott.
Operator: Thank you. I would like to conclude the question-and-answer session here and hand back to the management team for some final closing comments.
Oleg Shchegolev: Thank you all for joining us today. Look, we delivered a strong fourth quarter, closing out record year and the positive momentum continues. I am very excited to welcome Bill to our team and we remain focused on consistently delivering strong growth, profitability, and free cash flow. Thank you all.
Operator: Thank you all for joining. That does conclude today’s conference call with Semrush Holdings. Please enjoy the rest of your day and you may now disconnect from the call.